Operator: Good afternoon, ladies and gentlemen. Welcome to the conference devoted to presenting the results of the KGHM Group for the first half of 2025. The results are going to be presented by Mr. Andrzej Szydlo, President of the Board; Ms. Anna Sobieraj-Kozakiewicz, Deputy CEO for Foreign Assets; Zbigniew Bryja, Deputy Chairman for Development; Mr. Piotr Krzyzewski, Deputy President for Financial Affairs and Deputy President for Production Affairs; and Mr. Stryczek, Deputy for Corporate Affairs. We also have Mr. Janusz Krystosiak, the Director of the Investor Relations Department. I would like to inform you that our conference is transmitted online. In the second part, we're going to have a Q&A session. The questions are going to be asked from the room. And sent to the address ir@kghm.com. All the questions and answers are going to be presented on our website. And now Mr. President, please take the floor.
Andrzej Szydlo: Good afternoon. As usual, I will start with the introduction, a bit broader one this time maybe. And I'll divide my statement into 2 parts. First is the general remarks about what KGHM, the Board and the crew, the team has influence of, limited influence of or practically no influence of. And then in the second part, I will discuss and comment, again, on an introductory basis, the general indicators and results achieved by KGHM in the first half of 2025. Traditionally, we will present it compared year-on-year to 2024. The most important in KGHM, production and costs. These are the things that we can influence, not fully, of course, because both in terms of production, it would be dependent on the deposits and the conditions that are unpredictable. However, in terms of the availability of the technological line, we should have influence of, but of course, there are force majeure. Fortunately, we didn't have any major random incidents in the first -- in this period. The things that we don't have on the slides are -- do you reference to production results of KGHM related to our plans or our budget. And in general, in each position, in each option here, maybe except for I think molybdenum that was very ambitious and performed higher than year-on-year 2024. -- sorry, that is slightly below the forecasted budget. But then the copper and silver components and the production of the concentrate copper and the electrolytic copper, all of them were above the planned values. So also in terms of copper wire and silver, good levels of concentrates, anodes. We have a stopover of Glogów Smelter II. So we need to have a spare stock of anodes related to that. Of course, it coincided with other actions that were planned for that period of time that are going to be presented and commented in detail. The level of electrolytic copper is -- was planned as lower than year-on-year 2024. I don't want to get into details because I know that President Krzyzewski is very well prepared in terms of the details. So the only thing that pertains to KGHM is the exchange rate. We are dealing with a very strong position of zloty, Polish zloty, very strong. Yesterday, I spent a moment to check the -- of course, in terms of KGHM, the exchange rate, USD versus PLN. And the 2 currencies, euro and dollar that can be called global. The ratio of these 2 currencies is between $1 to $1.4 per euro. It was easier for me to compare. However, looking at the strength, the power of the Polish zloty to compare the last 10 or 20 years of inflation that occurred in the euro area, in the Eurozone and in Poland. And interestingly, in the last 10 years, especially the accumulated difference between the inflation -- between the Eurozone and Poland reaches 30% or even above 30%. 20 years ago, euro to zloty was at the level of PLN 4. Right now, it's PLN 4.25 -- for dollar, it's PLN 3.65. Of course, we can talk about a certain phenomenon that would be related to the market sentiment. Poland is not an emerging market anymore. It's a developed market, not according to my assessment, but in general, I think not only in Europe, but also around the world, but we are the country that is stable with credible currency. But coming back to the facts. The strengthening of zloty can be seen on the results -- by the results of KGHM because PLN 3.65 today per U.S. dollar. This is the level that in terms of dollar is an average level, but we did not foresee in our budget such optimistic values for the zloty. That would be it in terms of the brief introduction. In terms of the copper prices, the things that we can -- we have no influence 2024 -- 2025, half 1, $9,431. And compared to, as you can see, copper prices in terms of Polish zloty per tonne, PLN 36,546, which is a challenge for the company because the level of costs and the level of sales prices determine the financial results. In terms of silver and a marked increase, $32 compared to $26 last year. And again, that gives us PLN 126 per ounce in first half of 2025. As of today, the copper price is at the level of $9,700, PLN 3.65 is the dollar currency rate, exchange rate, which contributes to the level below PLN 36,000 per tonne. So the increase of sales of copper prices compared with stronger zloty means lower zloty price per tonne. Okay. Now the revenues of KGHM Group, a bit higher, as you can see, plus 0.4%. If you take a look at it, in terms of the copper prices in zloty by 1% year-on-year with lower production, lower sales -- no, sales not, I guess. Sorry, slightly higher sales because of the changes in stock. This is the level that seems to be relevant to the situation, nothing special here. EBITDA of the group, plus 16% year-on-year. And net profit for the period minus 46%. This results mainly from the exchange rate differences. I'm pretty sure that the financial deputy will comment on that and on the exchange rate in general. In terms of KGHM Polska Miedz S.A., PLN 14,860 million of revenues, minus 1% year-on-year. EBITDA minus 2%. And profit for the period, minus 92% year-on-year. It will be commented as well. I think I've introduced that also a bit. Next slide, please. Now key production indicators. As I said before, production was realized on the level of the budget, maybe slightly higher, the differences of 3%, 4% maximum depending on whether it pertains to copper or silver concentrates or ore production. In terms of the capital group, we have minus 4% year-on-year. In terms of the production level of payable copper, here, 7% of difference also justified a moment ago. And then the level of production, 272.4 kt above the budget, above the plan. And it will be even higher in half 2 of the second year since certain reconstruction or renovation processes are going to be finished. Then Sierra Gorda, plus 19%, which is 42.4 kt, plus 19% year-on-year. And payable copper production in KGHM International, minus 1%, so a similar level year-on-year. Here, one thing is worth commenting here, I think, a positive thing. If you take a look at the payable copper production in KGHM Polska Miedz S.A., you can see that the own inputs contributed to our own concentrate that was 67% of copper compared to 66% last year. So the percentage of payable copper of own concentrate increased even though the mining was slightly less. Then silver production is slightly lower, minus 3% year-on-year. This follows the thing I said related to the maintenance that is planned, maintenance of the infrastructure of the eletro-refinition hole. Then TPM production, so gold, platinum and palladium. So it's the same level year-on-year. And molybdenum production, 1.7 compared to 1.1. So a huge increase, plus 55%. But again, slightly lower than the estimated budget for the plan for this half of the year. I think I'm not wrong. If so, I will be corrected. That's it for me. I think then in the Q&A session, we may talk about the details. And I'm giving the floor to the next person.
Unidentified Company Representative: I think it's my turn. I think, Andrzej, you said everything I wanted to talk about, but I will confirm that in terms of Polish assets, production results were slightly higher than the estimated budget. On this slide here, you see the references to the previous year half 1. What's the reason of the differences? Well, the production calendar that was detrimental, lower production in holidays or bank holidays, weekends. And with such a big mass, 1% less copper content in concentrate as you can see. And then the 7-month stopover on Glogów Smelter Mine II was already mentioned, that's why the results were -- estimated results were lower than last year. A couple of words about water problems and water risks. We are conducting injection works for the ore that are aimed at creating the anti-filtration barrier and limiting the access of waters to Polkowice-Sieroszowice mine. For a couple of months, the inflow of water is at a stable level. And in terms of the reservoir -- most reservoir levels, that is used to deposit post-flotation deposits and is also a retention reservoir for us for excess waters from dewatering of the mines. The level for that season of the year is estimated as safe, safely low. That's it.
Unidentified Company Representative: Thank you very much. All right. Going into the production results for the international companies, there are as following the first half of this year, we have a 19% of increase of production of payable copper in Sierra Gorda. It's a reference value for 55% of shares. However, when it comes to the results of molybdenum, it's 89% more compared to the previous half -- the first half of the previous year, also 7% increase of TPM production. It's 14,700 of ounces and those production results when referring to the budget are looking good. Production of payable copper is almost 50% of the assumed budget until the end of the year. When it comes to the molybdenum, it's almost above 40% of the assumed budget. When it comes to the production results, they are a result of the higher percentage of content of molybdenum at the lower volume of production of ore. Can I have the next slide, please? When it comes to the production results of KGHM International Ltd, we also see a small decrease of payable core. It's a matter of 1%, so 29,200 of payable copper. So it's a difference of 200 tonnes compared to last year. It's a result of the higher production of the Robinson mine that were -- optimization programs were introducing those cost regime and the production of copper is in accordance with the budget. When it comes to silver, we are seeing some decreases of 80%, but this is dictated by consequences of selling the international assets in Sudbury Basin. TPM production is at a level at the same stage compared to the previous year -- the first half of the previous year. Here, we are seeing an increase in the Robinson mine. So it's 22% above the budget, and this has been compensated by -- this is compensated for the lack of production due to dispense of assets. Those are not relevant amounts, small amounts when it comes to the profit. Can I have the next slide, please? Ladies and gentlemen, and good production results of the international are transferring into inflows, cash inflows in the capital group and are resulting in paying of the international assets of almost $131 million of KGHM Polska Miedz S.A. Right, Mr. President, the floor is yours right now.
Andrzej Szydlo: Let's go into the investments. So the assumptions for the budget for 2025, assumed expenses at PLN 3,800 million. The execution was PLN 1,512 million. The previous plan of the previous year was PLN 4,100 million. Right now, we have PLN 3,800 million, so 8% lower and the execution for the first half of year is just 4% lower. So there's no need to worry at this stage of development of specific investments and going into the project. So we know that this parameter is going to be improved until the end of the year. As you can see on the charts, the basis of our expenses is mining, PLN 1,240 million, and I will go into details in a moment. They are very crucial. On the right side, we can see the division into 4 analytic divisions, replacement, maintenance, development and adaptation projects. So replacement is 33%, maintenance of the production is 31% and 35% is something concerning development. And here, we are counting on due to starting some works with increasing the category of Bytom Odrzanski concession that from the next year, this segment will be much bigger. Next slide, please. When it comes to the biggest and projects that we managed to carry out -- let's click the next one. So outfitting of the mines, this is usually very high position because apart from the works on the provision of the deposit, we can -- we also need a constant exchange of the machinery park and outfitting of the fields from the blocks prepared for the -- for mining, for exploitation. And one of the expenses of conveyor belts that we have managed to start, 14 conveyor belts under construction. So it's 2.2 kilometers, were already accepted. When it comes to the infrastructure of the regions/sections, then we need to talk about the whole infrastructure in here, installations, air conditioning installations and full preparation of the sections -- segments for production. When it comes to the machinery part, assuming that 260 machines that we wanted to purchase, we managed to purchase 140. The remaining one will be purchased later on. And right now, we also changed the structure when it comes to the category. But the plan, so 260 machines will be completed, and the expense will be PLN 243 million. The next one, mine dewatering. President Laskowski has mentioned this already. The thing that we are facing in Polkowice- Sieroszowice, so the water issue in KGHM is Polkowice-Sieroszowice topic mostly. And since the last year, we started a separation division system construction. That's why there are certain investments in that area. And the mine that is giving us more of that water and it's Polkowice-Sieroszowice and PLN 74 million are the resources devoted to building an anti-filtration barrier. So it's a relevant amount of money. So right now, we are ending the B1 hole right now well. And right now, we are preparing for B3 and B5 and the execution of those projects is in line with the project of the experts that established at this level of the level of injection is provided. Right now, over 40 meters, it's maintained in Polkowice-Sieroszowice because right now, if the works haven't been carried out, I think that 1/3 inflow would be greater in that case. When it comes to the instruments for the main dewatering equipment, we are completing this month and that will be given into the acceptance, the main dewatering unit. And it has been reported to the office of mining. The next point is development of the Zelazny Most Tailings Storage Facility. We were watching the level of the reservoir, if it's going to be enough or not. Right now, the level of the waste is safe. But right now, we have sped up the process, and we have the green light of the governor to build the reservoir. And very shortly, we are expecting the Marshalls office acceptance when it comes to the reservoirs to about 5 meters. Apart from that, we are carrying out some other words, so putting some more -- so Western section and Eastern section pump house development along with water stations and purchase of plots from the citizens who would like to -- or were expecting according to the agreements we have with the villages and towns, they wanted to move out to a different location. So 2 plots were purchased from the citizens at that time as well. When it comes to expenses to the replacements of mines and tailings division, so it's modernization of conveyor belts, shafts, air conditioning, ventilation, power supply and electro -- also pipelines as well, pumps and this type of appliances. And that was the weak point of our predecessors. So we weren't able to use the full capacity of the concession of legal water works concession. When it comes to exploration, the next topic, huge segment. Here, we are carrying out the identification works. Retków-Scinawa, „Grodziszcze”, the bore hole drilling was completed, and we also completed the Kulów Luboszyce, just 2 wells right now. Those are the possibilities of the drilling companies. Next year, we would like to increase that to 20 wells per year just to increase the category of Bytom Odrzanski. When it comes to the maintenance of shafts, also in this category, so we are completing the SW-4 shaft complex. Deposit Access Program as well, a huge program, relevant program because mine is a huge device composing of deposits and connection of working the underground with the things on the ground. Out of 21.6 kilometer of corridors were already excavated right now. So we are in accordance with the plan. Also the conveyor belts, so for example, we need to follow that up with the infrastructure. So 11 belts are under construction right now in Q2 and air conditioning and all other installations and systems as well. When it comes to the construction of shafts, I will devote the next slide into that, and I'll explain to you what we did in that regard in a moment. Okay, on to the shaft. I think we got used to this slide, but I think it's going to be still interesting in the coming years because we are referring to these bars here in which we show how the mining production is looking like in Glogów Gleboki-Przemyslowy mine. And that increased, thanks to the connection of different shafts with industrial shafts that happened in June 2023. Despite some deviations between the first and second quarter, we keep quite stable, high production from these departments, from these sections. And then once we move on with these works, starting new ventilation connections, we count on the fact that there is going to be a better chance to place further departments or sections there. For example, we are mentioning Grodziszcze, Retkow- Grodziszcze. So right now, when the surveying works have started, we're also trying to obtain the mining permit. And next year, hopefully, if everything goes according to the plan, we will have a mining section there. In terms of the shafts that are conducted right now, GG-1, here, shaft outfitting continues by the end of the year. The outfitting will be finished in all these sections. We are about to sign the agreements with company that is going to be -- use the -- or manage the terrain. This is going to be a big investment, big amount of responsibilities to one investor. It's going to be done by the district mining office in Wroclaw and our company subsidiary and Bipromet as well. So we are about to finish outfitting the surface areas as well. 33 megawatts of power were installed. We are increasing the capabilities to 40 megawatts. GG-2 shaft. After the initial assessments based on first holes that were drilled there, it showed that unfortunately, geological composition here is not promising. There are -- there's too much -- too big of a layer of salt and not enough of strong rocks that would keep the shift maintenance or shift outfitting. That is why we purchased plots in new location, better according to archival holes that were drilled there before. And currently, we have submitted an application to change the local spatial development plan. And we hope that the common will approve that plan. And right now, we perform design work. So for 3 shafts, GG-2, Retków and Gaworzyce, we have signed agreements with PeBeKa and with Cuprum for making the shafts and for the geological survey and 3D assessment of the geological composition in the areas of further shafts. So we don't assume any delays. The drilling machine will go from one area to the other. So these 3 shafts have 1 agreement and 1 contractor for all those works. In terms of Retków shaft, as you know from the press, due to our mining traditions, we have defined the access of the future shaft. Right now, we are preparing the site for starting the drilling machines and then we will start -- in September, we'll start drilling. Then in Gaworzyce shaft, we have a geological work project contained. We have the agreements on the plants, local spatial development plans. And then from Retków, the drilling machines will go to Gaworzyce and then to GG-2 shaft probably. That's it in terms of the shaft works development. And the last slide about CapEx execution in key investments in metallurgy. And as you can see, the brown would be -- the brown area here, that would be PLN 190 million. The year is not good in terms of development of metallurgical projects because we are preparing for bid expenses next year. So first, investment related to IAS, metallurgical plants and concentrators. So for example, maintenance on electrolyzers, convertors, anode furnaces and viaducts that would be related to the maintenance at the Glogów and Legnica metallurgical plants and concentrators, maintenance on crushers, ball mills and press filters. Replacement, we are preparing for the shutdown that will happen in Glogów II Copper Smelter and Refinery next year. This year probably is going to be spent on preparation works and some investment purchases for the perspective of that shutdown. Electro- refinition, replacement of rails, for example, in electro-refinition area, in Glogów II Copper Smelter as well. And Glogów I Copper Smelter also changing the roofs. Then in terms of replacement of the concentrators, replacement of switchboards and transformers in Lubin and building classifiers in the concentrators division and steel constructions and switchboards in Rudna concentrator. Adaptation projects, production of storage boxes at the Glogów Copper Smelter and Refinery, depending on the environmental indications. Then development projects for the smelters and concentrators. Here, quite substantial expenses related to the changes in electro- refining technology at the Legnica Copper Smelter and Refinery, PLN 116 million. PLN 53 million were already spent. And in the first part of the year, that would be PLN 26 million -- well, almost PLN 27 million spend. We're counting on the fact that the -- ultimately, the technology will be started next year, and the contractors promises that mid-2025 -- mid-'26. So yes, we would like to close that topic, that project next year. Any questions? Maybe let's leave them for later. Thank you very much. Let's move on to the financial results of the group.
Piotr Krzyzewski: Good afternoon. The President started from the introduction. Let me start from the conclusion then. I wanted to -- before we get to the presentation, I wanted to tell you about -- tell you 4 sentences about the conclusion. What will be the common denominator in all of them is going to be the word "but" or "although." First sentence, what the President said at the beginning. On one hand, we have better results comparing to H1 2024. But first, but -- let's look at the currency exchange and the USD rate and euro-dollar exchange rate that is not only affecting us, but the competitiveness of the whole economy is affected here. We talked about tariffs a lot. And in a couple of sentences, I will try to tell you how do tariffs influence us and what is the results of all those changes. But in my opinion, the influence of euro-dollar is going to be visible still. And as you can see from our financial report, it is visible when we talk about the exchange rates. We will go through the slides in detail, and I will tell you what are the reasons for these exchange rate differences. And you can see that in terms of sales, it did not affect us significantly, which is good news, but it did not affect us. As the President showed, the average exchange rate for half 1 is 3.68 with today's spot 3.65. So the coming months will be a true test and we'll show how the macro influence is going to be exchange rates, metal prices, so the resulting effect may influence our sales results, of course. In terms of tariffs, to summarize them. On the 30th of July, we have completed the process and the U.S. started introducing the tariffs that pertains to semi products related to copper. So that does not affect us directly. And the tariffs that we are discussing or that are being discussed on the European Union level versus the United States, we don't see any tariffs that would affect us directly. Apart from copper, we're talking about silver and rhen. But you asked us that, well, yes, there was a risk about that changes destination -- changes of the destinations in the transfer of our products and depending -- well, related to our international contacts with the U.S., with Canada, with China, we have predicted some changes in the supply chains. I may go over that, if you want, what was the global effect. So in one sentence, I would say that the result was positive. We ended up positive from these changes, from these turbulations. And then we had lower production, but the sales result was the same as last year, PLN 2.1 billion sales results. So if you would ask me about the reasons for that, I would name 2, maybe 3 of those. First, silver and copper. I will show you that on the bridge. But silver with the 26% increase year-on-year cost for the results of revenues and sales results was better, significantly better. Second element would be the international -- our international activities. And to use the statement of one of the analysts, give my regards to Jason, who said that, so far, international assets represented the value of 0. Right now, we are recovering from that. And this is the result. Yes, the performance of these assets is recovering. Also, the President mentioned that. Why? Well, for once, this is the result of our organic work, the result of geological surveys. These assets are just gaining in pace. So its contribution to EBITDA is very positive. So this is the second thing I would like to point your attention to. And the third reason or third statement, EBITDA is higher, but cash flows were on the negative. And again, maybe a word of explanation about that. There will be a slide dedicated to that, but in 2 sentences, that is true. Yes. Again, mining industry is very CapEx-consuming. President Bryja mentioned from boxes to high expenses related to shafts, what are the investments and the CapEx are numerous -- CapEx investments are numerous. And then in terms of operational cash flows, I will explain you again the reasons why did it happen. One element that would be worth mentioning today is the level of stock of anode stocks. So the electro-refinition hole renovation projects. What was the influence of that? Well, we produced less cathodes, gathered more anodes. On the 30th of June, that was 34,000 tonnes. In the second half of the year, these anodes will be consumed right now into cathodes. So the stock will go lower. And then we will accumulate anodes again for a big stopover in 2026. That was also mentioned in Glogów Smelter. So all in all, by the end of the year, we assume that the level of anodes -- the amount of anodes will be from 34,000 to 38,000 tonnes. We will use that stock, of course, and I will be working on optimizing it. However, this is the production cycle. And this is -- it dictates our investments. We need to recalculate how to generate additional margin like that. As President Szydlo mentioned, we are using less foreign, not own inputs. So we use that to maximize our margins. So we have a very analytical approach to our production to maximize the results based on the external elements that -- or the materials that we purchase so that we can't influence. And the last thing, the production results are lower and the sale result are higher. Again, it was mentioned in our statements. To remind you, the warehouse stock, both in terms of copper and silver were closed on a good level, and that was a well-thought decision discussed in the Board how to manage the sales strategy in half 1 2025. Nobody expected the Liberation Day or the tariffs being introduced. So unfortunately, our flexibility and agility in terms of satisfying changing demand will -- contributed to the additional extra result. So the last part, we have good results, but -- and let me get to the buts right now and go through the slides. So if we could go back when it comes to revenues at the level of a decent level and what we should notice is that the revenues increased at the level. At the capital group, it's 38% of KGHM International, a 1% decrease on S.A. So we can see that the diversification was positive to the capital group. Looking at EBITDA, it increased 16% globally and the main factor that was contributing to that was international asset. So PLN 650 million of EBITDA that appeared versus H1 2024. And the last middle charge costs, costs, costs, so cost control. Operating cost increased for 1%. Taking back the amortization, it would decrease, but -- so we should note that, that the optimization program for cost is still in place. This is the topic that sort of like wakes people up. So the improvement of international assets. The next slide, please. So what factors had the highest impact that caused the differences between the periods. So it's volume, of course. And this is something that we should look at from a different perspective. So per Szydlo, it's PLN 365 million, but it's a deficit of minus PLN 650 million around per Szydlo. It's the volume deficit slightly less than PLN 400 million globally. Just to explain what does it mean? The protection of accounting, the first position. So PLN 1 billion change in prices of basic products. So on S.A., we have a different situation. It's PLN 1.1 billion for KGHM International. It's not even PLN 70 million. But looking deep inside that amount, what is this composed of, there are 3 -- so it's silver, copper and gold, so PLN 150 million and over PLN 400 million of copper. So 3 elements that contributed to that. And the second one that started affecting us as well. So exchange rate changes, so PLN 450 million. And the third one, the adjustments of revenues due to derivatives. And to interpret that amount, we'd have to look in between periods. So after 6 years last year, we had plus PLN 280 million on revenues. This year, plus PLN 60 million. So it's minus PLN 224 million. And looking at those 3 amounts right now, so looking at minus -- plus PLN 172 million, minus PLN 452 million, minus PLN 224 million, how effectively we work from the perspective of safeguards and protections, we can say that our protection strategies, first of all, allowed us to participate in certain changes when it comes to exchange rate changes contribute to that as well. It didn't protect us from all the losses, but there is no strategy that would hedge 100% of it. But year-on-year, the result on the protection is PLN 500 million. The next slide, please. The expenses by nature. So the dynamic is decreasing. But globally, if we exclude the foreign inputs, it's still plus 4%, so where the greatest increased positions. There are 3 that I would like to refer to is amortization. It's plus 13%, and it's a huge matter. Mr. President was talking about CapEx and tasks as well. The specificity of mining industry, as mentioned by President Szydlo, is something that we cannot escape. We need to expand this infrastructure, but the thing that we focus on as a Management Board, how to transfer this input on one CapEx to investment CapEx because it allows us to expand. It's not -- it's just easy to say because I said 2 sentences about that, but it requires plenty of brainpower. And from this perspective, a program of optimization of cost is a huge program, how to effectively change from the investment CapEx and the replacement CapEx. And year-on-year, it's 7% tax on copper related to the fact that we have increases on silver. It's 6%, and I'll show you that through C1 what that means. Foreign input in relation to TCRC, the price increased by 6%, but there's less of that. So this result from the perspective of expenses by nature is lower. But looking quarter-to-quarter, there's a decrease. So we are in a certain line, but this optimization program, cost optimization program is something that is with us every day. Please show the next slide, C1 unit. If we have a look at the book, C1, including tax, it decreased by 5% in the whole group -- in the capital group. But when you see excluding the tax, it is the decrease of 11%. And this is a relevant decrease. This is a result of cost discipline that we were observing, also asymmetrically presented in specific C1s in certain assets. So in the country, we can say that we have increased from $3 to $3.15, but please have a look that 10% of that is just the tax itself. Without it, the C1 has increased from $1.90 to $1.94. So it's just 2%. And if we implemented the arithmetics of the median of 2024 to compare 2024 the first half to 2025 first half, and we would take the median exchange rate, it would decrease by 6%. So as we don't have the huge influence of the exchange rate on the dollar. So C1 on the national assets has also decreased. KGHM International and Sierra Gorda, due to higher production TPMs, it caused TCRC also as well. And the cost discipline resulted in C1 in those assets decreasing. What we should also point out is if we have a look at the matter of taxes, so 0.16% is the tax assigned to in Nevada, in Robinson. In Poland, it's 1.21%, so 8x higher in Poland when it comes to the taxation compared to the U.S. So also the costs related to C1 that we have discussed before. The next slide, please. And this element, this is something that I would like to get back to. So dollar -- so through the -- so the red bar is something that we need to talk about. So exchange differences, and we need to explain that. Looking at our structure and the loans that we have, the accounting that is concerning all of us, there are minus results. It's PLN 1.7 billion on minus. So we need to hedge natural -- because we also loan in dollars, so our loans in the banking sector has decreased as a result of the exchange rate change. But per Szydlo, so PLN 350 million, but per Szydlo was an amount of PLN 1.355 billion. So the net result at the level of the group -- capital group at PLN 580 million. So the next slide, so cash flow. And here, we are very close to this sort of like book balance, so the investment and the operational. Two explanations, we were talking about the anodes. So the turnover capital was already discussed. We also need to remember what was happening in between because going back to first half of 2024, we also have the turnover capital, but there was also a hidden component so that was the return of the profit tax. And that was a relevant amount that's highly dictated capital for the turnover. So from this perspective, this amount, when it comes to the cash flows, is majorly relieved by paying off the loans. So Sierra Gorda, for example, and that determines that their cash resources were PLN 430 million. So thank you very much.
Unidentified Company Representative: All right. And on to the last part in the presentation section. Other segments, including domestic companies. So in terms of the companies from the capital group, we observed a stable situation here, a slight increase in revenues by 3% to PLN 6.570 billion. We are particularly happy of the companies like KGHM ZANAM or Energetyka and Metraco. A slight decrease in terms of EBITDA, adjusted EBITDA and profit for the period, which results mainly from the delays in signing the agreements on works, contracting works in mining and smelting areas. We do hope that the next 2 quarters are going to bring the improvement in that situation in these areas. However, we need to mention Energetyka company as a special mention, who achieved EBITDA at the level of PLN 53 billion -- PLN 53 million, Metraco PLN 43 million and KGHM ZANAM PLN 40 million. Again, we do hope that the situation I mentioned before, it will improve for contracting in the next 2 quarters will improve. That's it. Thank you very much.
Operator: Thank you to the entire Board for presenting the results for the first half of 2025. Now let's move on to the Q&A section. Let's start from the from questions from the room. Any questions? If not, right now, I'm ready with the questions -- Yes.
Unidentified Analyst: I'm from [indiscernible]. Two general questions. How do KGHM investments write into the long-term strategy of lower zloty as the industrial and technological center? Second, how will the company cooperate with local governments in terms of the infrastructure, roads, power grids, housing estates in relation to development of new shafts?
Unidentified Company Representative: First question. We are in constant contact with administrative entities, the Marshal's office, provincial governor's office. We have different proposals of -- for cooperation. If they are in line with our core business, we are more than happy to respond to that. One of the provincial governors is the former mayor of [indiscernible] Commune. So he's our person, let's say, and he's definitely more than interested to locate the projects here. However, no tangible results. We want to be a facilitator of the development of industry in the region because, yes, this is the role we have been fulfilling for the last 65 years. Based on what we do, definitely, we accept and enter into different partnerships with local governments. In terms of question about the infrastructure, in relation to the local governments, cooperation with the local governments, almost all of the new shaft project is related or even with Zelazny Most Tailings Storage Facility is related to some road infrastructure. Why? Well, because of the increased amount of vehicles moving around, that degrades the roads around, sometimes small roads next to towns and villages. We know that this is going to be an endless row of renovations, but we are fully aware of that and then ready to enter into that. Current technologies allow for creating the bypass roads outside of the towns and villages. Of course, we are counting on cooperation with the support programs and local governments. So for example, right now, we have a road to GG-2 shaft to be performed, and we have money, we have the budget prepared for that. And the Zukowice Commune will build that road for money from KGHM, to give you an example. In terms of the tailings, Zelazny Most storage development, we are in connection with the local Commune and the traffic at the escarpment needs to be transferred from that, let's say, area. We're also thinking about the Rudna Gwizdanów Communes. But yes, we are in conversations, I would say. I've been in that job for 30 years. And I would say -- I would dare to say that never have we -- never before, we have had such good relations with the local government. You know what is the financial condition of the company. And we know that the local citizens expect more from us. Very often, these citizens or more commonly, these citizens are our employees as well. So these projects will definitely be a win-win situation. So yes, we are in talks with many different communes in that respect.
Unidentified Analyst: I'm from [ Radius Plus ]. Question to President Bryja, I think. You said that you will start drilling in Retków from September. How many drillings do you need to make? Will it be similar with 2 other shafts? And what is going to be the period? When do you -- when will you finish the drilling?
Zbigniew Bryja: I have a schedule here of drills. Each site will have 3 holes drilled. They will allow us to know the rock composition, geological survey and the geological structure of that area. As I said, in terms of GG-2, the first location was not good because of the huge amount of salt layer and low stability of the supporting rocks. That's why we changed the location for that shaft. And then 3 holes per shaft are enough to recognize the rock composition and geological structure. And especially that we also put the 3D readers, 3D monitors in all of these holes. So we know how will these layers look like in a broader scope, not only in the area of the hole. So each of the site, 3 holes will be drilled. And the period for performing those -- well, one set of holes is 2 quarters, I would say. So we're starting from September. We will end in Q1 2026. Then we move on in Q4 2025 still and Q1 2026 would be Gaworzyce. And then end of Q1 2026 and second quarter of 2026 that would be Odra shaft. This is the first M1 because different devices make these holes, drill these holes. And then we are returning to perform all these holes in Retków. So the general period of the entire section, the entire schedule would be from Q3 2025 to Q2 2027. After drilling all the holes, the results are also the cores and 3D will be performed by Cuprum Company that based on these drills will design the outfitting of all these shafts. And it will be tailored to the particular shaft and to particular results just like with all the other shafts we make. The -- for Retków, we will have the results ready in Q3 2026. I will also have the outfitting design for that. So then the company -- the contractor maybe may start building the shaft even in 2026.
Unidentified Analyst: I'm from [indiscernible]. A question about GG-2. Can we talk about any threats to this project due to the detrimental geological conditions? Or you just needed to move the plot and everything will be okay?
Unidentified Company Representative: Well, long time ago when we documented these areas, there were some research drills made, but in very sparse grid. Right now, we're making this grid more details to recognize the geological composition, especially in terms of the shaft so important that is to be served to be processed by the end of the mine's life. And this is the area of the third stage of water risk because there is a river nearby, Kosovska river nearby. So these are very responsible. These are very important projects. First location assumed certain interpretation of historical holes that we've drilled. It seems that between the beneficial hole and the target hole, there is going to be an improvement. It did not occur there. We're coming to the historical hole that was drilled and the results are definitely going to be better. We hope there are going to be enough to drill the shaft there. As I said, the salt layers and the -- it's about the salt layers and it's about the supporting rocks. SW-4 and GG-1 are the great examples of great work and great fight with the elements. In GG-1 -- sorry, in the previous mine, we have 150 meters of salt layer. We had 25 months of delay for GG-1 because of the difficult elements. Each of our shafts is delayed for about a couple of years, 15 years some of them. So we need to make sure that the good -- the location is good. That means lower maintenance costs, lower risks and faster access of air to the horizontal layers of the mine.
Unidentified Analyst: A technological -- technical question. Would you say that these testing holes can also be performed or will they be performed to freeze or that would be a separate technology?
Unidentified Company Representative: M1 that I talked about that is going to be performed on all of the sites. M1 is the hole that is going to be used among 43 freezing holes for a given shaft. So we won't double. We won't double that. One of them, we -- will be some M1 hole is going to serve that purpose.
Unidentified Analyst: A question about financial issues. With this financial result, would you say that the staff can count on the bonus advance or the bonus salary or salary bonus?
Unidentified Company Representative: Tomorrow, we will have a Board meeting. Among others, it will pertain to that topic to the potential of advanced payments and the annual reward on the profit being worked out, advanced payments to emphasize. I don't want to speak for the entire Board. I think we will discuss it in detail with you one more time. As of today, the net results of KGHM, well, we know the collective agreements. So by forecasting the second half of the year, if the Board decides on paying the advance annual bonus, still, that would be a highly defined -- strictly defined level. I think it's too early to answer that question with a yes or a no. We have our doubts if that would be beneficial for the company. And will it be well perceived by the working staff? To add to that, maybe what the President said, the collective agreement states directly what is the algorithm, what are the levels of the bonuses and so on. So with every month, we are updating that. I think for H1, it's PLN 140 million. That is a reserve created for that particular purpose. And yes, as I said, nothing serious is happening midyear. This is how it looks like. So we will talk about it tomorrow. And financially, we respect all the provisions of the collective agreement. So it is reflected in the agreements as well, accounting.
Unidentified Company Representative: So I don't see any questions.
Unidentified Company Representative: Right.
Unidentified Company Representative: So we have 3 analytical institutes, similar questions. And this is something I will start with about the situation and our outlook on the international assets. And we already talked about the results thereof, but I would like to quote sort of like referring to all of 3, those questions, a request from Jason Fairclough from Bank of America. What is the -- if you could just discuss the improvement of international assets? We were referring to that before, the volume results, the financial results as well. And then Jason proceeds to the context on before we have losses, right now, we have profits. So is KGHM the best owner of those assets? Would you consider selling those? And Morgan Stanley is talking about and asking about this ownership as well.
Unidentified Company Representative: Right. Ladies and gentlemen, as mentioned before, those production results are good at a stable level production despite prior -- in the previous year's problems. Right now, production is stable. And the Management Board is looking at the supervision over the operational part of the organization that transferred into the better production results. Sierra Gorda, temporary problems with molybdenum production, and that was straightened out. There were technological issues there. Right now, we have a tendency to catch up with the production. And since the beginning of this year, the production is in accordance with the budget and we are optimistic when it comes to the execution of the budget. Expanding a bit more when it comes to KI Robinson mine. We are at the moment of exploitation of the deposit liberty and their production is at a very decent level as well. When it comes to selling, the Management Board is analyzing very thoroughly the costs and the income of international assets, and we are overseeing that. But the performance of international assets is stable right now, and this is the answer to that. If I could add 2 more sentences to that because I understand what is the background of that question. As you know, there are the mining projects in the world, copper projects, there are less and less of those. And the one that are functioning right now, they are facing problems. So it is natural to ask if something happens on the functioning projects. And I can answer to that on behalf of what President Anna has said on their behalf -- on behalf of our competition or partners, rather, that everybody is focusing on their own assets and optimize system because there are no new assets and if they appear the access to those, as President Bryja mentioned the -- accessing the first tonne, it's dozens of years at least. So I understand the background of that question. But also, please remember, I think it was April last year, there was a similar question, what we intend to do with the international assets. So as Ms. President has mentioned, nothing has changed. And we are looking at them. We are trying to expand them and the results thereof can be seen are visible. So there's plenty of more work to be done, so we are still acting. A couple of words from my perspective, if there are 2 or 3 shareholders of a certain project, and this is the case of Sierra Gorda mine. So the best case scenario of operation -- cooperation is just to cooperate and the Management Boards to cooperate as well. And we have those contexts at very different levels at Graham Kerr and myself level as well. And it would be strange for us to meet or talk not to share any views, whether that's sales or purchase or asking ourselves whether that level of shares is optimal. But we agree on one thing, discussion like that is always risky, but almost always premature because if the asset is not optimal, as long there are certain weak points, the pricing, the quotation of such asset is so difficult that it's actually without purpose to talk about that. First, we need to optimize, we need to make the asset the best it can be. So the discussion about potential sales or purchases is just premature. First of all, we will never answer questions about our plans about the future when it comes to acquisition, liquidation of assets that we have signaled officially before, part of assets is not worth our while. Some assets are too small. So we try to optimize the performance of certain assets. What is working out has been working out so far, and I am pretty convinced that this will be the way in the future. And the talks about potential changes are a distant perspective if even that. Thank you very much. And a question from Morgan Stanley. Production -- Polish production right now and Miroslaw Laskowski will probably support the answer here. KGHM had 50% of copper in electric concentrate. So considering that most of maintenance work have been carried out in the first half of the year, can we expect any improvements in maintenance works? Those were included in creation of the budget. So the second half of the year will be in accordance with that budget.
Unidentified Company Representative: Thank you very much. The second quarter had a significant increase in the turnover capital. What was the result of that? Will the capital be freed out? And the President was commenting that, talking about the cash flow. Could we just supplement that as well? I think that I already answered to that question, but when talking about the turnover capital, there are plenty of factors that play a role in here. We'll see the macro sales, our strategy for that as well in the Q4 in the volume sales, whether we'll be making decisions. If we want to go with such volumes through the years, at the end of the day, we need to calculate every single aspect just to see the profitability of the decisions. So the turnover capital is also taken into consideration. So this element, when it comes to the financial performance, is included in that analysis as well.
Operator: All right Somebody from the room, maybe [ Radius Plus ] again.
Unidentified Analyst: Once again, we had a matter of increase of the self-input related to the financial result. But considering the history, the self-input was -- there was a problem with the temperature at furnaces. So there is no risk anymore, right? If you could just clarify that.
Unidentified Company Representative: There was a period when the input of self concentrates, considering the smelting possibilities, especially in periods when there was some renovation -- cyclical renovation going on and the stock of concentrate from -- of copper of Glogów or Legnica was not in line. It is natural that in such case, it's also a financial and profitability matter too, there were problems to achieve a project smelting possibilities of the concentrate in furnaces. So the aggregate that is first in line. First, and foremost those possibilities were optimized. So the project possibilities were met a long time ago. Second of all, there is no situation right now in which the provision of the concentrate -- self-concentrates is over the smelting possibilities. Of course, we are using special installations. I'm referring to Bogu 1 right now, but not continuously and not in full scope of the production efficiency. So there's no surplus when it comes to that. Thank you very much.
Robert Maj: Robert Maj, IPOPEMA. Do you have any options to change the provisions on the regulation on the copper tax, 28% not being related to the investments. Also a question from a couple of institutes. If you could just refer to that.
Unidentified Company Representative: We are not able to change the act. We can just comment on it. On the decision when it comes to the final outlook of the act on the copper tax is taken by the Polish government, the same and is accepted by the President. So as we have been doing that for 1.5 years or 5 quarters, we have been presenting our opinion. We provide information, arguments and at -- also at this stage of when the draft of the act has been presented on RCL website, we presented our opinion as the Management Board and our proposals of potential adjustments, improvements of that act. And as our remarks have been noted, we are willing to provide the follow-up adjustments as well, but we cannot influence the shape of the act as a company. Thank you very much.
Operator: All right. Another question from 3 analytical institutes. If we can comment about the share of the market right now?
Unidentified Company Representative: I would refer to the chart. At the consolidation, we had a net result of the exchange rate, PLN 1.7 billion. It's very difficult to say what's going to happen next, but this will determine the answer to that. It's too soon to say because considering the dynamic and we are the recipient of those information that is affecting the exchange rate of euro-dollar and zloty as well, we were discussing that. So those changes have a direct result on our net result. And this is the basis for the dividend discussion. So it's too soon.
Operator: So the question was concerning the dividends. All right. A question from the room once again. In the meantime, I'm browsing if we have some other aspects.
Unidentified Company Representative: All right. When President Bryja was talking about Zelazny Most, you have purchased certain plots. So I understand that this is marginal, meaning value right now. And there is no -- absolutely no issue of expansion right now, right?
Zbigniew Bryja: Ladies and gentlemen, when it comes to the geometry of a reservoir right now, when it comes to the placing construction, so it's not horizontal expansion, but vertical one. But considering what we have agreed the previous management have agreed upon with the neighboring villages as well. There was this opinion will to cooperate. So if the reservoir would increase, the citizens would -- it would make it difficult for the citizens to sell their plots. We will be the one to purchase them. So we are not -- we are right now preparing the estimate upwards, and we are agreeing on the amounts on the conditions. And in the first half, we purchased 2 plots like that, but there are 20 more motions in place right now.
Unidentified Company Representative: I would like to add one more, what President Bryja mentioned. There was this atmosphere of talks, discussions and good neighborhood when it comes to us and the citizens of villages around Zelazny Most.
Zbigniew Bryja: As a company, we have the continuance of management. We want to be credible as KGHM, so certain obligations. Even if not formal, we are trying to meet them. Also considering that we want to be here for the next tens and tens and tens of years. So also considering the expectations. It's also a matter of finding that sweet spot between the expectation of the citizens that want to relocate and the real quotation or price of the plot. But credibility is the most important thing here.
Unidentified Company Representative: I have a couple more questions. But this is a discussion about prognosis. So the company is not publishing any prognosis. So this is problematic. Very detailed questions. So cost guidance, so production costs, prognosis. We're talking about the performance -- cost performance today, the budget as well. One more moment, if you please, there are questions of a different topic arriving too. We're talking about shafts. So a bit of hesitation here. All right. I have -- I don't have any new questions. Every question that we didn't manage to answer.
Operator: All right. So thank you for attending this conference today. And please feel invited to attend the conference concerning the results for Q3. Thank you very much. [Statements in English on this transcript were spoken by an interpreter present on the live call.]